Operator: Good morning, ladies and gentlemen, and welcome to the CrossAmerica Partners Second Quarter 2025 Earnings Call. [Operator Instructions] This call is being recorded on Thursday, August 7, 2025. I would now like to turn the call over to Maura Topper, Chief Financial Officer. Please go ahead.
Maura E. Topper: Thank you, operator. Good morning, and thank you for joining the CrossAmerica Partners Second Quarter 2025 Earnings Call. With me today is Charles Nifong, CEO and President. We'll start off the call today with Charles providing some opening comments and an overview of CrossAmerica's operational performance for the second quarter, and then I will discuss the financial results. We will then open up the call to questions. Today's call will follow presentation slides that are available as part of the webcast and are posted on the CrossAmerica website. Before we begin, I would like to remind everyone that today's call, including the question-and-answer session, may include forward- looking statements regarding expected revenue, future plans, future operational metrics and opportunities and expectations of the organization. There can be no assurance that management's expectations, beliefs and projections will be achieved or that actual results will not differ from expectations. Please see CrossAmerica's filings with the Securities and Exchange Commission, including annual reports on Form 10-K and quarterly reports on Form 10-Q for a discussion of important factors that could affect our actual results. Forward-looking statements represent the judgment of CrossAmerica's management as of today's date, and the organization disclaims any intent or obligation to update any forward-looking statements. During today's call, we may also provide certain performance measures that do not conform to U.S. generally accepted accounting principles or GAAP. We have provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press release. Today's call is being webcast, and a recording of this conference call will be available on the CrossAmerica website for a period of 60 days. With that, I will now turn the call over to Charles.
Charles M. Nifong: Thank you, Maura. Maura and I appreciate everyone joining us this morning, and thank you for making the time to be with us today. During today's call, I will go through some of the operating highlights for the second quarter. I will also provide commentary on the market and a few other updates as I typically do on our calls. Maura will then review in more detail our financial results. Before I jump into a detailed review of our operating results, I want to highlight some important strategic actions that we executed during the quarter and then talk about our operating results from a high level. We had a record dollar value of asset sales during the quarter. We realized approximately $64 million in proceeds from asset sales during the quarter that we primarily used to pay down debt. For the most part, we sold sites with continuing fuel supply relationships, so we realized an extremely attractive effective multiple on these divestitures. We also lessened our real estate ownership in markets such as Kansas and Colorado, which are not part of our long-term strategic plans for real estate ownership. So these transactions not only strengthened our financial position today, they also strengthened our operating portfolio today and for the future. On the operations side, our results reflect a continuation of the challenging environment as our results on an EBITDA basis were below the prior year, but significantly better than the first quarter. Fuel market volatility so far this year has been lower, limiting fuel margin opportunities. Consumers, particularly lower income, have been selective in their spending. While our fuel volume and store sales outperformed the industry for the quarter, they were still impacted by these factors, which weighed on our results. With that backdrop, if you turn to Slide 4, I will briefly review in more detail some of our operating results for the quarter. For the second quarter of 2025, our retail segment gross profit decreased 1% to $76.1 million compared to $76.6 million in the second quarter of 2024. The decrease was primarily driven by a decline in motor fuel gross profit. Our retail fuel margin was down slightly for the quarter compared to the prior year. For the quarter, our retail fuel margin on a cents per gallon basis decreased 1% year-over-year as our fuel margin was $0.37 per gallon in the second quarter of 2025 compared to $0.373 per gallon in the second quarter of 2024. In comparison to the prior year, crude oil prices were less volatile during the second quarter of 2025, which resulted in lower market volatility. And as a result, our retail fuel margins were slightly lower year-over-year. For volume on a same-store basis, our overall retail volume declined 2% for the quarter year-over-year. Volume demand started off the quarter soft in April and improved from there, the last weeks of June ending the quarter on a strong note. Based on national demand data available to us, national volume demand was down approximately 4% for the quarter. Compared to the first quarter, where our retail volume was approximately in line with national volume demand. This quarter, we returned to outperforming national volume demand while still achieving solid fuel margin results. In the period since the quarter end, overall retail same-store volume has been down around 1%, while national volume demand has been down approximately 2% to 3%. In the same period, retail fuel margins have been higher than our second quarter fuel margins. For inside sales on a same-site basis, our inside sales were up approximately 2% compared to the prior year for the second quarter. Inside sales, excluding cigarettes, increased 4% year-over-year on a same-store basis for the quarter. Our beverage and food categories were strong performers for us this quarter, with the food results particularly encouraging given our ongoing initiatives in this category. Maura will provide more color on our food initiatives in her remarks. Based on national demand data available to us, national demand for inside store sales for the quarter was approximately flat on an overall sales basis year-over- year. So on a relative basis, our retail segment inside sales outperformed the industry for the quarter. On the store merchandise margin front, our merchandise gross profit increased by 2% to $30.5 million, driven by our increased sales from the higher average store count and an increase in sales in our base business. The store merchandise margin percentage declined slightly for the quarter compared to the prior year. In the period since the quarter end, same-store inside sales have been up approximately 4% compared to the prior year. In our retail segment, if you look at our total number of retail sites, our company-operated site count decreased by 15 sites this quarter relative to the first quarter. The decrease in company-operated sites reflects the asset sales we completed during the quarter. The divested locations were generally lower performing sites in markets that we have decided were no longer strategic for us. Our commission agent site count increased modestly by 2 sites during the quarter relative to the first quarter as we continue to convert sites over to our retail class of trade as opportunities arise. We continue to look for opportunities in our portfolio to increase our retail exposure and our overall strategy with retail has not changed. The divestitures this quarter represent our execution on our continued strategic focus on being in retail in the right markets. Our retail segment outperformed the market during the second quarter in both same-store volume and store sales, although same-store volume was down year-over-year. Our same-store volume and store sale results reflect the challenging dynamics in the marketplace where certain consumer segments continue to feel pressure and have modified their purchasing behavior. Our results on the expense side also reflect some of the same pressure, and Maura will touch on this in more detail in her comments. The retail operating environment improved towards the end of June and July was an overall strong month from a volume, sales and fuel margin perspective for us. Moving on to the Wholesale segment. For the second quarter of 2025, our wholesale segment gross profit declined 12% to $24.9 million compared to $28.1 million in the second quarter of 2024. The decrease was primarily driven by a decline in fuel volume, fuel margin and rental income. The primary factor for the fuel volume and rental income decline by a significant degree was the conversion of certain lessee dealer sites to company-operated and commission agent sites, which are now accounted for in the retail segment. Our wholesale motor fuel gross profit declined 9% to $15.2 million in the second quarter of 2025 from $16.6 million in the second quarter of 2024. Our fuel margin decreased 2% from $0.087 per gallon in the second quarter of 2024 to $0.085 per gallon in the second quarter of 2025. The decline in our wholesale fuel margin per gallon was primarily driven by movements in crude oil prices and lower prompt pay discounts associated with lower gasoline prices, which reflect the lower crude oil prices during the quarter compared to the prior year, partially offset by better sourcing costs. On product sourcing costs, we continue to make meaningful progress on this front and signed new agreements during the quarter that further reduced our product sourcing costs on a material number of gallons. Our wholesale volume was 179.2 million gallons for the second quarter of 2025 compared to 192.1 million gallons in the second quarter of 2024, reflecting a decline of 7%. The decline in volume when compared to the same period in 2024 was primarily due to the conversion of certain lessee dealer sites to our retail class of trade. The gallons from these converted sites are now reflected in our retail segment results. For the quarter, our same-store volume in the wholesale segment was down approximately 2% year-over-year. So the additional approximately 5% drop in volume, the difference between the overall volume decline of 7% and our same-store volume decline of 2% for the segment was largely due to converting sites to the retail segment. As mentioned in my retail segment comments, national demand data available to us indicated national volume demand was down around 4% for the quarter. So our same-store wholesale volume performance for the second quarter outperformed overall national volume demand. In the period since the quarter end, wholesale same-store volume has been down around 2%, so in line to slightly better than national volume demand, which has been down 2% to 3% over the same period. Regarding our wholesale rent, our base rent for the quarter was $9.3 million compared to the prior year of $11.2 million, a decrease due to the conversion of certain lesy dealer sites to company-operated sites as well as due to our real estate rationalization efforts. As you know, the rent dollars for the converted sites while no longer in the form of rent are now effectively in our retail segment results through our fuel and store sales margins at these locations. As I touched on at the start of my comments, we had a record quarter for asset sales in the second quarter, divesting 60 sites for $64 million in proceeds. The impact of these sales is immediately apparent on our balance sheet at quarter end as we reduced debt by over $50 million relative to the first quarter. Operationally, these sites were not strategic and were generally lower-performing locations for us. However, we did retain fuel supply at the majority of the locations. And as a result, these asset sales were done at very attractive and effective multiples. We have a strong pipeline of asset sales for the rest of the year and expect to continue to add meaningfully to the total dollar value of sites divested by the end of the year. Overall, during the second quarter, we made meaningful progress on our strategic goals with our divestitures, which strengthened our balance sheet and further optimize our operating portfolio for the future. Our operational results for the quarter on an EBITDA basis were lower year-over-year as we continue to navigate a challenging demand environment, along with lower volatility in the fuel market. However, fuel volume and store sales demand at our sites was stronger than the overall market, indicating our solid market position and that the portfolio is well positioned for success. With that, I'll turn it over to Maura to further discuss our financial results.
Maura E. Topper: Thank you, Charles. If you would please turn to Slide 6, I would like to review our second quarter results for the partnership. We reported net income of $25.2 million for the second quarter of 2025 compared to net income of $12.4 million in the second quarter of 2024. This increase in net income was primarily driven by gains on the sale of assets that Charles discussed in his commentary, offset by a decline in adjusted EBITDA year-over-year. CrossAmerica recorded a net gain from asset sales and lease terminations of $28.4 million during the second quarter of 2025 compared to $5.6 million during the second quarter of 2024. This was offset by an increase of $4.9 million in depreciation, amortization and accretion expenses, primarily due to an increase in impairment charges for the current quarter compared to the prior year period, also related to our asset sales. I'll add to Charles' comments about some of the additional benefits to our balance sheet from our continued real estate rationalization efforts later in my comments. Adjusted EBITDA for the second quarter of 2025 was $37.1 million, a decline of $5.5 million from the same period of 2024, primarily due to a decline in fuel and rent gross profit and higher operating expenses. Our distributable cash flow for the second quarter of 2025 was $22.4 million, a decline from $26.1 million for the second quarter of 2024. The decrease in distributable cash flow was primarily due to our lower adjusted EBITDA for the quarter this year as well as slightly higher sustaining capital expenditures during the quarter. These were offset by lower current income tax expense and a decline in interest expense due to a lower average interest rate and a lower average outstanding debt balance on our capital credit facility during the period. Our coverage ratio for the second quarter of 2025 was 1.12x compared to 1.30x for the same period of 2024. Our distribution coverage for the trailing 12-month period ended June 30, 2025, was 1x compared to 1.32x for the same 12-month period ended June 30, 2024. During the second quarter of 2025, the partnership paid a distribution of $0.525 per unit. Charles provided information in his comments on our top line and gross profit metrics during the quarter and how they impacted our adjusted EBITDA compared to the prior year. I will now touch on the expense portion of our operations. In total, across both segments, we reported operating expenses for the second quarter of 2025 of $57.9 million, a $2.1 million increase year-over-year. We reported G&A expenses for the quarter of $6.6 million, a $1.3 million decrease year-over-year, resulting in a total expense increase for the organization of 1% over the course of the past year. As a result of our class of trade conversion activities and specifically increasing our site count in our retail class of trade, we have increased our gross profits and had higher operating expenses in our retail class of trade and higher operating expenses overall as a result. While our total expenses are up 1% over the past year, our second quarter total expenses were approximately 3% lower than our first quarter of 2025 and meaningfully lower than the third and fourth quarters individually of 2024 as well. As we have cycled through the first year of operations of many of our locations in their new classes of trade, which typically results in elevated expenses to onboard and upgrade the converted locations. We are experiencing a stabilization of our expense profile in our current class of trade site count. We will, of course, continue to experience seasonality of certain types of operating expenses in our stabilized portfolio, like increased labor in the summer and increased snow blowing in the winter. Returning to our operating segments. Retail segment operating expenses for the second quarter increased $2.2 million or 5%. This was driven primarily by a 5% increase in average segment site count year-over-year due to our class of trade conversions as well as same-store increases. On a same-store store level basis, operating expenses in our retail segment were up approximately 3% for the second quarter of 2025 compared to the second quarter of 2024. Within that increase, our labor expense at same-store company-operated locations increased 4% during the quarter, with that increase materially coming from newly opened branded food locations at existing sites within our company-operated portfolio. We continue to feel good about our approach and management of labor, our largest single retail segment expense category. Other expense categories that contributed to our same-store level operating expense increase in the retail segment were maintenance and environmental as well as shrink. Moving back to total operating expenses in our retail segment for the quarter. Our commission locations experienced an elevated expense profile compared to baseline during the quarter, primarily due to elevated repairs and maintenance spending for newly converted locations to this class of trade, which we expect to moderate in future quarters. We remain focused on efficient expense management at our locations, ensuring that we are investing in customer-facing areas that will drive the long-term health and sustainability of our sites. Operating expenses in our Wholesale segment declined by $0.1 million or 1% for the quarter year-over-year due to declines in site level operating expenses and management fees as our Wholesale segment average site count declined 8% year-over-year. On a year- to-date basis, Wholesale segment operating expenses have declined $1.8 million or 11% compared to a 10% decline in segment average site count year-over-year. Our G&A expenses declined 17% for the quarter year-over-year, primarily driven by lower acquisition-related costs, legal fees and equity compensation expense. Our G&A expense profile this quarter, excluding event-driven acquisition costs and unit price movement impacts to equity compensation is more indicative of our ongoing run rate in this area. Prior year G&A spending had elevated expenses from now concluded transactions or litigation as well as we now conduct more transaction work in-house as opposed to using third parties, which also produces cost savings that benefit our adjusted G&A expense profile. Moving to the next slide. We spent a total of $11.8 million on capital expenditures during the second quarter with $9.3 million of that total being growth-related capital expenditures and $2.5 million of that being sustaining capital expenditures. The slight increase in sustaining capital expenditures versus the prior year is in line with our expectations due to our increased company-operated site count. Moving to our growth capital spending during the quarter. Our spend remained focused on our company-operated locations and included targeted fuel brand and backcourt refresh projects, oftentimes supported by our wholesale fuel supplier partners as well as projects to increase food offerings, both our own and QSRs. Following some of these growth investments this quarter and over the past 2 years, we now operate 46 branded food locations within our company-operated portfolio, approximately half of which are Subway restaurants as well as more than 100 locations with our proprietary made-to-cook food program. These growth investments have and will contribute to our merchandise sales and margin results and help drive customer traffic onto our lots and into our stores. Turning to our balance sheet. The asset sale activities during the second quarter that Charles reviewed in his comments, meaningfully helped us reduce our credit facility balance by $51 million, ending the quarter at a credit facility balance of $727 million. The decrease in our balance, combined with the gains on sale generated from our asset sale activities, resulted in a decrease in our credit facility defined leverage ratio to 3.65x compared to 4.36x as of December 31, 2024. This leverage ratio will also provide additional meaningful savings on our credit facility interest expense as we move forward. Our management team remains focused on the cash flow generation profile of our business utilizing our normal course operations and our targeted real estate optimization efforts to manage our leverage ratio at approximately 4x on a credit facility-defined basis. Our asset sale activities during the quarter and reduced credit facility balance also helped improve our cash interest expense during the quarter, which decreased from $13.7 million in the second quarter of 2024 to $12.1 million in the second quarter of 2025. We also benefited from a lower average interest rate environment during the second quarter of 2025. We also continue to benefit from the interest rate swaps we entered into during 2023 during the quarter. At this time, a little more than 50% of our current credit facility balance is swapped to a fixed rate of approximately 3.4% blended, which remains an advantaged rate in the current rate environment. Our effective interest rate on the total capital credit facility at the end of the second quarter is 6.1%. In conclusion, as Charles noted, during the second quarter, the partnership showed a meaningful improvement over the first quarter of 2025, although experienced challenges compared to the prior year. We successfully completed several asset sales, reducing our debt by more than $50 million and strengthening our balance sheet. These transactions also positioned our operating portfolio for long-term performance. We remain focused as a team on continuing to execute across the business and are looking forward to the back half of the year, maintaining a strong balance sheet and generating value for our unitholders. With that, we will open it up for questions.
Operator: [Operator Instructions]
Charles M. Nifong: Well, it doesn't appear that we have any questions today. Should you have any questions in the future, please feel free to reach out to us. Again, thank you for joining us, and have a great day.